Operator: Hello and welcome to today’s Tyler Technologies Second Quarter 2013 Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. And as a reminder, this conference call is being recorded, today, July 25, 2013. Your host for today’s call is John Marr, President and CEO of Tyler Technologies. Mr. Marr, I would now like to turn the call over to you. Please go ahead.
John S. Marr, Jr.: Thank you, and welcome to our second quarter 2013 earnings call. With me on the call today is Brian Miller, our Chief Financial Officer. First, I’d like for Brian to give the Safe Harbor statement. Next, I’ll have some preliminary comments, Brian will give the details of our operating results, then I’ll have some final comments, and then we’ll take your questions. Brian?
Brian K. Miller: Thanks, John. During the course of this conference call, management may make statements that provide information other than historical information that may include projections concerning the company’s future prospects, revenues, expenses and profits. Such statements are considered forward-looking statements under the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995 and are subject to certain risks and uncertainties, which could cause actual results to differ materially from these projections. We refer you to our Form 10-K and other SEC filings for more information on those risks. Please note that all growth comparisons we make on the call today will relate to the corresponding period of last year unless we specify otherwise. John?
John S. Marr, Jr.: Our second quarter financial performance continued the trend of steady growth in virtually every meaningful metric with results very much inline with our expectations. This was our 10th consecutive quarter of year-over-year revenue growth and our 49th consecutive profitable quarter. We also reached a new milestone with our first quarter of revenues of more than a $100 million. Our recurring revenues from subscriptions and maintenance continue to be the primary driver of our growth, as together they grew 15% and represented approximately 59% of total revenues for the quarter. The growth in subscription revenues reflects the continued shift toward the cloud and new business as well as the growing transaction based revenue stream. At the same time, we are pleased that our software license and royalty revenues were up almost 20% over last year, which is attributable to licenses from EnerGov, which we acquired last November, and contributed $1.3 million of licenses this quarter together with the significant increase in royalties from Microsoft Dynamics AX sales.  The higher license and royalty revenues together with the leverage and our recurring revenue growth led to an increase in gross margin of 110 basis points, and our non-GAAP operating margin grew 200 basis points to 19.3%. New contract signings were relatively strong across Tyler, and bookings in the second quarter grew 24% over last year. The broader local government marketplace continues to gradually strengthen in our strong competitive position including our cloud based offerings, is helping us increase our share. The largest contract we signed during the second quarter was with New York City for our iasWorld property appraisal and tax administration software. The contract is valued at approximately $18.4 million, including a perpetual license. The revenues will be recognized over the implementation period of approximately 12 quarters. Obviously, New York City is a large and complex jurisdiction in which our software will manage the property taxes associated with more than 1 million properties worth approximately $800 billion. This is the largest software contract in Tyler’s history other than statewide core systems and our selection here is a great example of our credibility and competitive strength that Tyler has established in the local government marketplace. In Courts & Justice, we signed an Odyssey contract with Kings County, California, which we mentioned as an unsigned award on our last call. Kings County is a SaaS implementation under a five-year agreement, which will also include transaction based e-filing. We also signed an agreement to provide e-filings for the Reno, Nevada Justice Court as well as a five-year SaaS contract for Odyssey Online with (inaudible) County Texas. We had a number of significant new contracts for our newest ERP solution, including the cities of Walmart in Pueblo, Colorado. Pueblo also purchased our municipal court solution. And this was also selected by the Ector County Independent School District in Odessa, Texas and by California, Santa Barbara Unified School District. The Shelby County Schools in Memphis, Tennessee, the state’s largest school system in the 14th largest school district in the United States selected our Versatrans student transportation management system, as did Brownsville ISD, Texas. Sales activity for our EnerGov solutions is also strong. We have a number of wins for that product both on a stand-alone basis such as San Mateo California in conjunction with our ERP products. In Q2, for example the Town of Erie, Colorado signed a contract for our Incode ERP solution together with EnerGov. Now I would let Brian to provide more detail on the results for the quarter. Brian?
Brian K. Miller : Thanks, John. Yesterday, Tyler Technologies reported its results for the second quarter ended June 30, 2013. You’ve seen the press release and our 10-Q has been filed. So I want to comment on some of the key factors in the quarter, then move onto John’s comments on the current quarter and our outlook for the remainder of 2013. Beginning in the fourth quarter of 2012, we added additional non-GAAP measures that we believe facilitate understanding of our results in comparisons with peers and with software industries. Our non-GAAP earnings exclude share-based compensation expense and amortization of acquired intangibles. A reconciliation of GAAP to non-GAAP measures is provided in our earnings release. Also beginning in the first quarter of 2013, we’ve included the Dynamics royalty revenues in the software licenses and royalties line. These were previously included in hardware and other revenue and prior year amounts have been reclassified for comparability. Revenues for the second quarter were $103.1 million, a new quarterly high up 12.8%. Organic revenue growth was 9.5% and our acquisition of EnerGov accounted for revenues of $3.1 million or 3.3 percentage points of growth. Software license and royalty revenues increased 19.8%. excluding the impact of acquisitions, software licenses and royalties grew 4.5%, most of which is attributable to the increase in Microsoft Dynamics royalties. In Q2, we received $687,000 of royalties on public sector sales of Microsoft Dynamics AX by other Microsoft partners, compared to $129,000 last year. In addition, we had approximately $216,000 of revenues related to Tyler’s direct sales of Dynamics, which are included in software services and maintenance revenues. Organic license revenue growth continues to be pressured by the increasing percentage of new customers selecting subscription-based arrangements. Subscriptions continue to be our fastest growing revenue line and grew 31.4%, of which all but, 1.3% was organic. We added 28 new subscription based arrangements and converted 15 existing installed clients, compared to a total of 24 new arrangements and 17 conversions in the second quarter of 2012. Approximately 42% of our new software clients opted for one of our cloud-based solutions, compared to 33% of new clients in the second quarter 2012. The subscriptions line also includes the growing revenue stream from transaction-based revenues such as e-filings for courts and online payments. These revenues rose approximately 33% to $3.1 million from $2.3 million last year. We expect to continue to see solid growth in these revenues as both current and new clients adopt our Odyssey File and Serve solution and more of them move towards mandatory e-filing. Software services revenues increased 10.8% with 5.7% organic and 5.1% from acquisitions. Organic growth was primarily driven by the higher level of bookings in recent quarters. Maintenance revenue growth was 10.9%, of which, 9.6% was organic. Our maintenance revenue growth rate continues to be reduced somewhat by the increasing percentage of new SaaS clients as well as the effect of existing installed clients converting to our hosted offerings, which results in a loss of maintenance revenue offset by a larger increase in subscription revenue. Our blended gross margin for the quarter was 45.6%, compared to 44.5%. this increase was due to higher license and royalty revenue and leverage in our recurring revenues. The increase in our gross margin was offset somewhat by costs incurred related to our investment in TexFile with no related revenues. SG&A expense increased 15.1% in the quarter and represented 24.2% of total revenues and an increase of 50 basis points from last year’s second quarter with stock compensation being the major reason for the increase. Non-cash share-based compensation expense was $2.9 million, compared to $1.8 million, $343,000 of the cost was included in cost of revenues and $2.6 million was included in SG&A expense. Excluding stock compensation, SG&A expense improved to 21.7% of revenues from 22.1% last year. Net research and development expense was $5.6 million, compared to $5.4 million last year. We did not receive any R&D expense reimbursement under our agreement with Microsoft in the second quarter of either 2013 or 2012, and we do not expect to receive any further reimbursements under the agreement. Operating income was $15.3 million, compared to $12.5 million or an increase of 23.2%. Non-GAAP operating income was $19.9 million, up 25.6%. The non-GAAP operating margin rose 200 basis points to 19.3%. Net income was $9.0 million or $0.26 per diluted share, compared to $7.1 million or $0.22 per diluted share. The fully diluted share count increased by approximately 1.5 million shares. Non-GAAP net income was $12.2 million or $0.36 per diluted share, compared to $9.5 million or $0.29 per diluted share in the second quarter of 2012. Adjusted EBITDA, which is EBITDA plus non-cash share based compensation expense, was $21.5 million or $0.63 per diluted share, an increase of 23.4% compared to $17.4 million or $0.53 per diluted share in the second quarter of 2012. Free cash flow was negative $9.2 million compared to negative $12.9 million. Excluding real estate CapEx, our free cash flow was negative $2 million versus negative $11 million last year. This improvement is primarily attributable to an increase in cash associated with higher deferred revenue collection Day sales outstanding in accounts receivable was a 106 days at June 30, 2013, compared to 99 days at June 30, 2012. DSOs normally increased sequentially from Q1 to Q2, as we bill a significant portion of our maintenance in Q2, resulting in an increase in receivables with the related revenue deferred over the next 12 months. The increase in maintenance billings this year drove the higher DSOs compared to last year’s Q2. Our backlog at the end of the quarter reached a new high of $430.9 million, up 19.7%. Backlog related to our software business, which excludes backlog from appraisal services contracts was $411.1 million, a 25.3% increase. Backlog included a $139.8 million of maintenance, compared to $114.1 million a year ago. Subscription backlog was $101.2 million, compared to $72.9 million last year. Our bookings for the quarter, which are calculated from the change in backlog plus revenues, were up 23.5% to $147 million. For the 12 months ended June 30, bookings were up approximately 16% over the prior 12-month period. We signed 19 new contracts in the second quarter that included software licenses greater than $100,000, and those contracts had an average license of $687,000, compared to 19 new contracts with an average license value of $306,000 in the second quarter of 2012. Our total headcount grew by 25 to 2,431 employees at the end of the second quarter, compared to 2,406 at the end of the first quarter. We currently expect to add approximately a 100 additional employees before the end of the year. Now, I’d like to turn the call back over to John for his additional comments.
John S. Marr Jr.: Thank you, Brian. As you’ve seen, this was a solid quarter and results were generally in line with our expectations. The trend of gradual recovery in the broad local government market environment is continuing. Our new business pipeline is active and our competitive positions and win rates are strong. I like to provide updates on a couple of opportunities that we’ve discussed in recent quarters and discuss our updated guidance for 2013. As we mentioned earlier in the call, our royalty revenues from Microsoft this quarter increased substantially over last year. Royalties totaled $687,000, up from a $129,000 recorded in the second quarter of last year. These royalties were generated by sales of Dynamics AX to approximately 55 public sector entities in 18 different countries. While the royalty revenues were about $200,000 less than Q1, almost half of the royalties in Q1 were from one large sale to a federal agency in Indonesia. This is just our 6th quarter of royalty payments and we continue to be encouraged by the reception of the product in a very broad marketplace as reflected by the number of new deals in the widespread geographical footprint. With respect to our direct channel for Dynamics, late in the quarter, we signed two more significant deals that we had previously mentioned as unsigned awards. The city of Columbus, Ohio, was one of our early Dynamics proposals and selected us after a thorough competitive process. Columbus is the nation’s 15th largest city and we look forward to partnering with them to transform their core financial operations with the implementation of Dynamics along with Tyler proprietary software products and services. We also signed a contract to provide Dynamics to the Oklahoma Administrative Office of the Courts, the statewide agency that provides administrative services for the Supreme Court, Appeals Court and District Courts in that state. Together, those two contracts have initial value of nearly $8 million. Our pipeline of Dynamics opportunities through our direct channel also remains active and growing. In the Courts & Justice market, we continue to build our Odyssey leadership position in case management software. We have been awarded a contract with the State of Washington for statewide implementation of Odyssey and expect that to be signed soon. In California, we have signed contracts for Odyssey with two of the states’ 58 counties following the termination last year of a project to develop a custom statewide case management system. We previously discussed that we were one of three vendors selected earlier this year to enter into a master service agreement under which courts in California can purchase systems without going through the RFP process. The MSA was executed last week and we are actively engaged with several counties that we expect to purchase systems under the MSA. Electronic filing solution for courts known as Odyssey File and Serve is another area in which we are making significant investments and expect to be a growth driver over the next few years. We are well underway with the work on the TexFile project, which is the contract we signed last year to provide a statewide e-filing system for Texas Civil Courts. e-filing will be mandatory in Texas for civil cases beginning of the largest counties in January of 2014 and then into other counties over a 2.5 year period. The first pilot Court in Great County went live on TexFile with option of e-filing in late June. We are also pursuing a number of additional e-filing opportunities with current Odyssey clients as well as with courts that do not use Odyssey. With each new eFiling contract, we will incur cost ahead of revenues, which may put short-term pressure on margins, as of the case this year. We believe that these with current transaction based revenue streams will contribute significantly to revenues and margin expansion in coming years. This quarter we signed one new eFiling contract with Reno, Nevada Justice Court. Our updated guidance for 2013 is as follows. We currently expect 2013 revenues to be between $411 million and $416 million. We expect 2013 diluted GAAP earnings per share to be approximately $1.08 to a $1.14 and fully diluted shares for the year are expected to be approximately $34.5 million. We expect 2013 non-GAAP diluted earnings per share to be approximately $1.44 to $1.50. For the year, estimated non-cash share based compensation expense is expected to be approximately $11.5 million. We’re estimating an effective tax rate for 2013 of approximately 40%. We expect that total capital expenditures will be approximately $25.5 million to $26.5 million for the year. Capital expenditures for the year include approximately $17.8 million related to real estate and office facility construction. Total depreciation and amortization is expected to be between $14 million and $14.5 million, including approximately $6.5 million of amortization of acquired intangibles. Now, we’ll take your questions.
Operator: We will now begin the question-and-answer session. (Operator Instructions) Our first question comes from Brian Kinstlinger of Sidoti & Co. Please go ahead.
Brian D. Kinstlinger – Sidoti & Co. LLC: Great. Thank you so much. The first question I had, it’s great to hear the MSA was executed in California, I am wondering if any large counties out there have put out RFPs outside of the MSA? And maybe in addition, how many counties you expect might award a contract this calendar year given the MSAs now executed?
John S. Marr, Jr.: No, the larger counties are taking a little slower look at this, although, we do expect them eventually to be in the marketplace. Most of the counties purchasing off the MSA will be small to mid-sized. It’s hard to say how many will do it in this year. We certainly think there are several that will do it relatively soon, but some of the others that are earlier in the process whether or not it gets down through very next year would be hard to say. So certainly several in the next couple of months and whether there is a couple of few more before the end of the year will just be a timing thing to say.
Brian D. Kinstlinger – Sidoti & Co. LLC: Thanks and my second question is, if you look at the two AX deal – Microsoft deal that you won in direct sales, I guess, I’m interested in how long you think it’s going to take implement, or a better way to ask, at what point do these two customers become referenceable clients and are there any more awards that are awarded, but unsigned?
John S. Marr, Jr.: Well, referenceability is a process. So reference as an installed online client is probably 18 months away for these clients, but I think that the enthusiasm they had for their selection and their support of the kind of best of both worlds approach of Tyler is the leading vertical player in this space and Microsoft is a Tier 1 software company. I think they are referenceable from that respective right now. So we have installed accounts that are online and are referenceable, and then I think to take especially a top 15 City in the country. In Columbus, we did a very thorough search and really can tell that story of having selected kind of the best of both worlds approach will be beneficial even before they are online. Obviously further down the road, it will even be enhanced by that, but will be helpful there. We do not have other awards that we are negotiating in that size range. We do have other small awards back to pipeline, typical smaller or average sized deals. We do have some of those awards that we are working on, but there isn’t a Columbus sized deal award in the contract process at the moment.
Brian D. Kinstlinger – Sidoti & Co. LLC: Thank you so much.
Operator: Our next question comes from Nathan Schneiderman of Roth Capital. Please go ahead.
Nathan Schneiderman – Roth Capital Partners: Hi, John, and Brian, thanks in advance for taking my questions. I was curious with the New York City tax billing and collection solution, if you could give us more details on just the competitive dynamics of that deal? And then when you look at your pipeline of opportunities within this category of tax billing and collection, are you seeing other significant multimillion dollar deals out there or is this (inaudible) more of a one-off situation?
John S. Marr, Jr.: Yeah, it’s a good question, and I think it goes a little broader than New York. We kind of have two segments in my view of this vertical market. You’ve got core financials and human capital management and the kind of things that clearly are vertical applications, but we also see crossover vendors. Obviously, the Oracles or SAPs or Lawsons and maybe some other names that aren’t as familiar to everybody. We’re always going to have some competition in that space, because it can be a crossover market. We then have what I kind of refer to as the sub-vertical with tax and appraisal, this type of particular opportunity or even Courts & Justice, you’re not going to see crossover vendors. These are vertical only type applications and when you have large enterprise decisions like this, this is a space in the marketplace that traditionally didn’t have these kinds of options and it was a bit underserved. And now there is a company, Tyler, that is large enough, has the scale, has the resources and the stability that is really kind of uniquely qualified to do these large enterprise projects in very vertical types of spaces. And I think that’s why you are seeing us very consistently win these large deals whether it’s in tax and appraisal or in Courts & Justice. So the competitive landscape there is very favorable toward us. I would (inaudible) that there are others that participate in that space, but it tend to be smaller, weaker companies that represent considerable exposure for someone who is doing a $10 million, $20 million or $30 million deal. So this is a place where Tyler trend and stability has emerged as having a significant competitive advantage.
Nathan Schneiderman – Roth Capital Partners: In the tax billing and collection area, do you see other significant multimillion-dollar deals out there or is this really a one-off?
John S. Marr, Jr.: Yes, we do.
Nathan Schneiderman – Roth Capital Partners: And then, a final question for you. When you look at total backlog, 20% year-over-year, when you think about the current portion of that to be recognized over the next 12 months, would you say that’s I know you give us specific number at the end of the year. But would you say it’s roughly of that same percent or did you see any, for example, noticeable mix shift toward either current or toward long-term? Thanks very much.
John S. Marr, Jr.: I think in general, there are more larger contracts in there. So, for example, New York is roughly a three-year implementation as the revenues will be recognized and as we’ve talked about, there’s a – subscription component of that backlog grew 39% year-over-year. So the tenure of that backlog should be a little bit longer than it was, say, at the end of last year. So it is a little bit more falling in the long-term section.
Operator: Our next question comes from Dan Cummins of B. Riley. Please go ahead.
Daniel Cummins – B. Riley & Co.: Thank you very much. I wonder if you could share with us what you can about your hiring plans for the second half of the year, particularly with respect to some of the more recent large contract wins and how that squares with getting to the high end of your earnings guidance? Thank you.
John S. Marr, Jr.: Sure. I think we said in the remarks, we expect to hire about another 100 heads for the end of the year. Many of those are in the billable professional services. We have been doing that throughout the year and that’s another area that as we go back into a little higher growth period is a current investment that puts a little pressure on margins. So the onboarding process depending on the suite of applications and division is three to six months that people are onboard and we are investing in them and they are not productive in terms of revenues yet. So that’s the majority of the positions we are hiring during the year.
Daniel Cummins – B. Riley & Co.: Yeah. Thanks. That’s helpful. And I guess, with respect to that seasoning process, is it perhaps likely that you won’t really have a strong indicator on getting toward the high end of the range until the fourth quarter?
John S. Marr, Jr.: I think all of that is baked into the plan, so current projects, if they stay on track. As you saw, we’ve raised the lower end of the range, which suggests that we are tracking towards to the higher end of the range.
Daniel Cummins – B. Riley & Co.: Okay. Thank you.
Operator: Our next question comes from Scott Berg of Northland Capital Markets. Please go ahead.
Scott R. Berg – Northland Capital Markets: Hi, John and Brian. Congratulations on this quarter. I guess my first question, Brian, is how is the right way to think of the deferred revenue gain in the quarter, trying to reconcile how much of that might have been from say the New York City deal versus other contracts that were signed in the quarter?
John S. Marr Jr.: I don’t think there are any billings on New York City in the quarter. virtually, all of that is driven by the higher level of maintenance, some of which function comes from EnerGov and the other acquisitions and the majority is just the annual increases on our customers that have July 1 renewals. So most of there it is just organic from new customers brought on there in the last year as well as the rate increases on the existing base.
Scott R. Berg – Northland Capital Markets: Great. and then those as a follow-up, John, on the Dynamics license or the dynamics revenues in the quarter, the royalty is that 687. How should we view those in terms of how much of that is a function of maintenance revenues that you’re getting royalties on versus new license sales? trying to understand how much that’s kind of a run rate going forward in the third quarter given that obviously the difference is there?
John S. Marr Jr.: The run rate on the maintenance right now is a little over $200,000 a quarter, and the difference is on license royalties, and nothing to point out with respect to those new customers with sort of 55 new entities that bought Dynamics in the public sectors through the Microsoft channel. of those 55, the majority of those were upgrades from other Microsoft products about 40 of them were upgrades and about 15 of them were new names. So those upgrades, in most cases, we don’t get a meaningful license royalty at the time of defining, they start getting maintenance royalties, as their maintenance renewals kick in and they jump up. So on a large number of those, there’s not a significant license royalty upfront.
Scott R. Berg – Northland Capital Markets: Great, thank you. I’ll jump back in queue.
Operator: Our next question comes from Charlie Strauzer of CJS Securities. Please go ahead.
Dan Moore – CJS Securities, Inc.: Yes, good morning. This is actually Dan Moore filling in for Charlie. Just want to touch on obviously, the housing market starting to, they’re improving steadily. are you seeing, maybe you can elaborate on increased activity in RFPs in the appraisal unit, you touched on a little bit in your prepared remarks, but any additional comments or color would be appreciated?
John S. Marr Jr.: In terms of appraisal services for revaluation, no, not really, that’s a pretty defined cycle; we have a pretty good long-term view on exactly how those things cycle out. We’re kind of in a low point of those cycles, that business will be a little bit stronger in the coming couple of years. But we’d expect that our appraisal service revenues would kind of stay in the $17 million to $21 million or $22 million range over several years going forward. The tax and appraisal, software market is stronger than it’s been. I don’t know if that’s the result of what’s going on in the housing market, but there is a fair amount of activity, New York is certainly outsized here, but there are a number of midsize and good size cities that are active in that process. So we do expect that our software or tech business, I mean, tax and appraisal business will be strong over the next couple of years.
Dan Moore – CJS Securities, Inc.: And then a quick follow-up maybe just talk a little bit about M&A, the trends in terms of opportunities that you are seeing out there?
John S. Marr Jr.: Well, we obviously, just remain opportunistic there. We are very happy with what we have done in the last few years. we’ve certainly raised our standards as we feel we have a portfolio of products in the geographical presence that we wanted to have at this point in our development. So we are more selective with the e-file within that deal EnerGov deal at strategic place are pointing out very nicely in the Infinite Visions deal that few companies associated with that, which represents the majority of our M&A in the last few years are going on very nicely as well. We are not overly aggressive at this point in time. but that’s not to suggest that something even material wouldn’t occur in the future, but currently there really isn’t anything to report on.
Dan Moore – CJS Securities, Inc.: Okay. Thanks for taking the questions and congrats on a very nice quarter.
John S. Marr Jr.: Thank you.
Operator: Our next question comes from Mark Schappel of Benchmark. Please go ahead.
Mark W. Schappel – The Benchmark Co. LLC: Hi, good morning and again, a nice job in the quarter here. John, in the New York City property tax deal, you’d be dealt two competitors that historically have been pretty strong in that Manatron, CCI. I was wondering if you could just address a little bit more detail, why you think the competitive tides are shifting so dramatically there in the property tax arena?
John S. Marr Jr.: I guess I don’t want to comment too specifically on an individual competitor, other than to say generally that most of our direct competitors are not as strong today as they worked three or five years ago as businesses or as competitive products. And we’re benefiting from that. We’ve discussed before that in 2010 and 2011, this marketplace is pretty tight, many of these companies went through some type of a business combination. and in our case, this cost was taken out or certain investments weren’t increased and we’ve improved our offer in the news areas, and we are satisfied that we’ve gotten good results in terms of a competitive position.
Mark W. Schappel – The Benchmark Co. LLC: Thank you.
Operator: Our next question comes from Raghavan Sarathy of Dougherty. Please go ahead.
Raghavan Sarathy – Dougherty & Co. LLC: Good morning, thanks for taking my questions. First question is a clarification question. So with regards to this New York City deal, was there any sort of appraisal services included in that deal or is there a potential for appraisal service as a follow-on?
John S. Marr Jr.: No, that deal is entirely software professional services and maintenance, perpetual license, on-premise installation and there is not an appraisal services component, and I don’t believe at this time there is any appraisal services contemplated in that jurisdiction.
Raghavan Sarathy – Dougherty & Co. LLC: Okay. and then in terms of the Microsoft deals that you talked about like Columbus and Oklahoma, how does the revenue rec work on this situation as it’s going to be a percentage of completion or how should we think about that?
John S. Marr Jr.: We currently expect that the Columbus deal will be percentage of completion accounting, and that the Oklahoma deal will be more traditional license recognition over – as the licenses delivered in the services on a combinatorial basis.
Raghavan Sarathy – Dougherty & Co. LLC: Okay, thank you.
Operator: Our next question comes from Jonathan Ho of William Blair. Please go ahead.
Jonathan Ho – William Blair & Company, LLC: Yes. Just wanted to understand with regards to winning the Columbus deal, what the potential impact could be for, maybe not other sort of tier one cities, but just in terms of the larger tier two cities, this is sort of increased your trustees or give you more of a market, in that, you can reference in terms of a large deal. Just want to get a sense of maybe what this means for the company in terms of that market.
John S. Marr Jr. : Yeah sure, I think we have had a number of clients with dynamics that are referenced above but having a tier one-type clients that are pretty enthusiastic about their selection that was an important part getting this deal done, so obviously we’ve now that we will be working this deal since the early days of Dynamics release and was considered a very important to get them onboard. I considered on the sophisticated city, have been there myself and met their team and I think that the real resource to us leveraging this in the marketplace.
Jonathan Ho – William Blair & Company, LLC: Got it, and just in terms of the EnerGov deal, just I want to understand how much of a cross sale opportunity you guys see and sort of a timing that you would expect that to really pick-up at this point?
John S. Marr Jr. : Yeah, that is good pick-up on your part, there are a lot of revenue synergies there. There are small company, and just because become part of Tyler they don’t all of a sudden somehow have all kinds of capacity they didn’t have previously, so we mentioned quickly in the remarks that they’ve done their own direct deals or these, city goes out for that suite of applications on it’s own, that’s what they have done traditionally and they continue to do that on a direct basis with their own resources and are doing well with that. We mentioned one Incode type deal where we sold EnerGov as well, but I think there were five in the quarter that Incode and Munis were we participated any broader suite of applications and we were able to sell the EnerGov systems along with Munis or Incode. And that’s a benefit for two reasons really obviously that enhances the revenue that EnerGov will do in it’s incremental revenue over what say, they would have done as an independent company, which is the revenue synergy we’re looking for, but secondly, their suite of applications is very, very strong. It shows very well in the demonstrations, it’s very responsive to the RFPs. So we would hope and expect, although it’s very hard to track then it will help us win deals that we otherwise might not have won. It certainly enhances our overall competitive position in the enterprise-wide types of solution. So we’re encouraged that they continue to win business on a direct basis, kind of point solution type decisions, and also that I think five deals that we won without ERP solutions included EnerGov, and we believe that along with selling those apps that made our core offerings more competitive.
Jonathan Ho – William Blair & Company, LLC: Can anyone match you in terms of having that integrated solution with both EnerGov and your “Munis” box?
John S. Marr Jr.,: Well, indeed, (inaudible) presumptuous we hope not that’s the idea, that’s now again, immediately upon doing really did this less than a year ago. So their capacity, the points of integration, the seamless sense of the integration, those things don’t occur overnight. So they’re in process, so currently now if somebody wants to take what they feel is another competitive ERP solution in an industry point type solution for that area, they probably can. But I think right now, people can appreciate that Tyler is going in a direction where over time those products will grow together, the user experience and the integration will be better than what they can get by choosing partners in that type of situation.
Jonathan Ho – William Blair & Company, LLC: Okay, thank you.
Operator: Our next question comes from Brian Kinstlinger of Sidoti & Company. Please go ahead.
Brian D. Kinstlinger – Sidoti & Company, LLC: Great, thanks. Just a few questions on eFile 2, the first is the Reno deal that you mentioned you won, is that a county where you have a mandate for Reno for filing or is it just, they can do manual or e-file?
John S. Marr Jr.: I’m not certain that, Reno is mandated at this point or not. It is a county that uses Odyssey as their court solution, that I’m not certain if it’s mandatory at this point.
Brian D. Kinstlinger – Sidoti & Company, LLC:
John S. Marr Jr.: The new really goes in the other order. So as Texas did right, I mean they went out, they selected a solution, selected Tyler and they intended to make it mandatory at some point in time. in the case of Texas, it was made mandatory before the system was actually implemented, which is a good process for us. And there are other states that are out for systems, they generally do not commit to mandatory when they’re out and generally, in the contract process as we become educated in terms of what adoption rates are, when it’s not mandatory, they generally become convinced, that it’s in their interest to go mandatory. If it’s not mandatory, it really is just a filing system, right. So it’s a more efficient area to file them manually, but if it becomes mandatory, even though there maybe some exceptions virtually all of these documents become electronic, so it’s not just a filing system, it’s a document retrieval systems and they can have confidence that all of this information is online and it will utilized that way in the court rooms by law firms, by the courts themselves. And so it has considerable incremental value to them not just to get a higher percentage filed electronically, but the way the court actually works. In today, many of these courts want to be paper listed, but they want to retire the file cabinets, and storage that they have and this is a way that they become considerably more efficient and most of them become convinced that’s in their interest during the process. So to answer your question, now they are on a life that said, it said hey we are doing mandatory and now we’re looking for a system it usually goes, we’re looking for a system and hence they do their due diligence, they learn that’s in their interest to go mandatory.
Brian D. Kinstlinger – Sidoti & Company, LLC: One last question if I could. Are there any states were you are not installed state-wide for e-file. I think Texas might be the only ones you are where there is a active procurement going on, where you are actively betting?
John S. Marr Jr.: Yes.
Brian D. Kinstlinger – Sidoti & Company, LLC: Can you quantify a number of how many states you are there?
John S. Marr Jr.: I think maybe three.
Brian D. Kinstlinger – Sidoti & Company, LLC: Great. Okay, thanks so much.
Operator: (Operator Instructions) Our next question comes from Dan Cummins of B. Riley. Go ahead.
Daniel Cummins – B. Riley & Co.:
John S. Marr Jr.: Okay. International is not at this point a big part of our focus. We do believe that reinforcing the leadership position we’ve achieved domestically in local government, is important and if there would remain some opportunity cost of redirecting the sales channel, the development group, service group in those areas. Having said that Canada, we consider it’s really more North America than domestic, I should say. Canada is an extension to this market and actually there is a fair amount of Canadian activity across our different applications. But beyond that there is some activity, I think there will be some international business on a direct basis, but your question specifically said significant and I don’t think it will be significant in the next few years and I think that’s disciplined, we feel is important to our really expanding leadership position that we’ve worked to attain. The exception to that obviously is Dynamic. So as we mentioned, I think 55 names, this past quarter and are among the 17 or 18 countries, so that by design was a relationship that we created in addition to distributing that product domestically. We’ll get a lot of international exposure that we wouldn’t have gotten on a direct basis.
Daniel Cummins – B. Riley & Co.: All right, thank you very much.
Operator: At this time there appear to be no more questions. Mr. Marr, I’ll turn the call back over to you for closing remarks.
John S. Marr Jr.: Okay, thank you and appreciate you joining us on the call today. If there are any further questions feel free to contact Brian and myself. Have a great day.
Operator: The conference is now completed. You may now disconnect. Thank you.